Operator: Thank you for standing by. Welcome to Itron's Fourth Quarter 2024 Earnings Release Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. To ask a question during the session, you will then hear an automatic message advising your hand is raised. Please note that today's conference is being recorded. I will now hand the conference over to speaker host, Paul Vincent, Vice President of Investor Relations. Please go ahead.
Paul Vincent: Good morning, and welcome to Itron's fourth quarter 2024 earnings. Tom Deitrich, Itron's President and Chief Executive Officer, and Joan Hooper, Senior Vice President and Chief Financial Officer, will review Itron's fourth quarter results and provide a general business update outlook. Earlier today, the company issued a press release announcing its results. This release also includes details related to the conference call and webcast replay information. Accompanying today's call is a presentation that is available through the webcast and on our corporate website under the investor relations tab. Following prepared remarks, the call will open for questions using the process the operator described. Before Tom begins, a reminder that our earnings release and financial presentation include non-GAAP financial information that we believe enhances the overall understanding of our current and future performance. Reconciliations of differences between GAAP and non-GAAP financial measures are available in our earnings release and on our Investor Relations website. We will be making statements during this call that are forward-looking. These statements are based on current expectations and assumptions that are subject to risks and uncertainties. Actual results could differ materially from these expectations because of factors that were presented in today's earnings release and comments made during this conference call, as well as those presented in the risk factors section of our Form 10-K and other reports and filings with the Securities and Exchange Commission. All company comments, estimates, or forward-looking statements are made in a good faith attempt to provide appropriate insight to our current and future operating and financial environment. Materials discussed today, February 25, 2025, may materially change, and we do not undertake any duty to update any of our forward-looking statements. Now please turn to page four of our presentation as our CEO, Tom Deitrich, begins his remarks.
Tom Deitrich: Thank you, Paul. Good morning, everyone, and thank you for joining our call. The Itron team executed well during the fourth quarter, producing results above expectations and demonstrating our strategic financial progress. These results capped record full-year revenue for our growth segments of network solutions and outcomes. Financial highlights for the fourth quarter are detailed in Slide four and include revenue of $613 million, adjusted EBITDA of $81 million, non-GAAP earnings per share of $1.35, and free cash flow of $70 million. Turning to slide five, beyond the financial results, performance highlights for the fourth quarter include record quarterly bookings of $1.4 billion, producing a new record total backlog level of $4.7 billion. Market demand remains stable with a healthy pipeline of opportunities related to grid resiliency, grid capacity, safety, and automation driven by the continued adoption of our grid intelligence platform, which now includes 13.4 million distributed intelligence endpoints shipped and over 15 million applications licensed. Turning to slide six, the full-year 2024 bookings of $2.7 billion contributed to our record year-end backlog and a 2024 book-to-bill ratio of 1.11. Our backlog is dominated by grid edge intelligence platform content from our network solutions and outcome segments, including over 10 million endpoints and associated platform elements. Selected bookings highlight our business expansion during the fourth quarter. Potomac Electric Power Company, serving the Washington DC area, and Itron have partnered to offer an impactful residential demand response program. Itron has supported Potomac Electric's goals of providing flexible and on-demand load control, creating an efficient non-wires capacity. The program has enrolled nearly 500,000 participants that utilize direct load control devices and smart thermostats to reduce the load on Pepco's system during the most demand-heavy periods. In Q4, Pepco extended their multi-year relationship with Itron, enabling continued participant support and laying the path for the next generation of grid edge demand response technologies, including Itron's distributed intelligence capability. Additionally, one of Itron's longest-standing gas customers, who we have been working with through the various stages of their AMR to AMI transition and future positioning, signed an agreement in Q4 for our Intelis technology, which provides the connected metrology on the active grid. Our solution will help this customer maximize safety and grid edge intelligence for their customers. We are delighted to continue to be a trusted partner for the large gas utilities by leading the industry with innovation that delivers true benefits. The challenges our customers confront related to reliability, safety, resiliency, and efficiency are intensifying. This is contributing to our strong pipeline of opportunities, and as a result, we anticipate a book-to-bill ratio of at least one to one for 2025. Now I'll turn the call over to Joan to provide details for our fourth quarter and full-year results as well as our outlook for 2025.
Joan Hooper: Thank you, Tom. I'll review Itron's fourth quarter and full-year 2024 results before discussing our financial outlook for the full year 2025 and for the first quarter. Please turn to slide seven for a summary of consolidated GAAP results. Fourth quarter revenue of $613 million increased 6% year over year. The higher revenue was driven by both strong customer demand and operational gross margin of 34.9%, which was 90 basis points higher than last year due to product mix and operational efficiencies. GAAP net income of $58 million or $1.26 per diluted share compared to $44 million or $0.96 per diluted share in the prior year. The improvement was driven by higher levels of operating and interest income, partially offset by higher tax expense. Regarding non-GAAP metrics on slide eight, non-GAAP operating income of $71 million increased 6% year over year. Adjusted EBITDA of $81 million increased 19%. Non-GAAP net income for the quarter was $62 million or $1.35 per diluted share, versus $1.23 a year ago. Free cash flow was $70 million in Q4 versus $39 million a year ago. The improvement reflects strong year-over-year operational earnings growth and increased interest income. Year-over-year revenue growth by business segment is on slide nine. Device solutions revenue decreased 5% on a constant currency basis, driven primarily by an expected decline in legacy electric meter sales. Network solutions revenue grew 6% year over year, driven by increased new project deployments and strong operational execution. Outcomes revenue grew 25% year over year, primarily due to increased software licenses and services. Moving to the non-GAAP year-over-year EPS bridge on slide ten. Our Q4 non-GAAP EPS of $1.35 per diluted share increased 12 cents year over year. Pre-tax operating performance contributed a 37 cents per share increase driven by the fall through of higher revenue and gross profit, partially offset by higher operating expenses. Higher tax expense had a negative year-over-year impact of 26 cents per share. Turning to slides eleven through thirteen, I'll review Q4 segment results compared with the prior year. Device solutions revenue was $109 million. Gross margin was 26.6% and operating margin was 19.9%. Gross margin declined 30 basis points year over year due to product mix, but operating margin was up 240 basis points due to lower operating expenses. Network solutions revenue was $413 million with a gross margin of 35.1% and operating margin of 26%. Gross margin increased 10 basis points year over year due to product mix, and operating margin was down 30 basis points due to increased operating expenses. Outcomes revenue was a record $91 million with a gross margin of 44% and operating margin of 22.8%. Gross margin increased 420 basis points year over year, and operating margin went up 290 basis points due to a higher margin revenue mix. For a recap of full-year 2024 results, please turn to slide fourteen. The financial performance was very strong in 2024, and we set several new records. Revenue of $2.44 billion grew 12% versus 2023, reflecting solid customer demand, increased adoption of our grid edge intelligence platform, and strong operational performance. 2024 results did include the conversion of $125 million of previously constrained revenue, which will not occur in 2025. Our network solutions and outcomes segments both delivered record annual revenue in 2024. Gross margin of 34.4% was a new record for Itron. It was up 160 basis points year over year due to higher margin product mix and operational efficiencies. Adjusted EBITDA was a new record of $324 million or 13.3% of revenue, which compares with $226 million or 10.4% in 2023. Non-GAAP earnings per diluted share was also a new record at $5.62 and compares to $3.36 in 2023. Finally, the company achieved a new record for free cash flow of $208 million or 9% of revenue compared to $98 million or 5% of revenue in the prior year. The year-over-year increase was primarily due to higher operational earnings and interest income. Now please turn to slide fifteen. I'll review liquidity and debt at the end of the fourth quarter. Total debt was $1.265 billion and net debt was $214 million. As of December 31st, net leverage was 0.7 times and cash and equivalents were $1.05 billion. Please turn to slide sixteen for our current full-year 2025 financial outlook. First, let me comment on our 2024 bookings. We were quite pleased with the Q4 bookings total of $1.4 billion, which represented over 50% of the total year bookings and was higher than we expected. As we discussed during the last few calls, the back-end loaded nature of the 2024 bookings and the typical time frame between bookings to revenue means most of the new bookings will translate to revenue beyond 2025. And this timing has been factored into our current outlook for 2025 revenue. We anticipate 2025 revenue to be within a range of $2.4 billion to $2.5 billion. At the midpoint, this represents flat year-over-year growth. But when normalizing 2024 to exclude the $125 million of catch-up revenue, the year-over-year growth is approximately 6%. We currently anticipate 2025 non-GAAP EPS to fall in a range of $5.20 to $5.60 per diluted share. This EPS outlook assumes an effective tax rate of 25% for the full year. Quarterly rates could fluctuate based on jurisdictional mix and the timing of tax settlements. At the midpoint of this EPS range and after normalizing the tax rate to 25% for both years, we expect 2025 year-over-year earnings growth of approximately 8%. Please note that our assumptions assume a stable market environment, including no change to the 2024 trade policies. The trade situation is obviously very fluid, and we will provide any necessary updates on this during our Q1 call. Now please turn to slide seventeen for our first quarter outlook. We anticipate Q1 revenue to be within a range of $610 million to $620 million, a 2% year-over-year increase at the midpoint. We anticipate first quarter non-GAAP EPS to be within a range of $1.25 to $1.35 per diluted share, which at the midpoint is approximately 14% year-over-year growth after normalizing for the tax rate. Our 2024 financial results demonstrated good progress toward our 2027 targets for revenue growth, margin expansion, and increased free cash flow generation. While our revenue growth rate will normalize during 2025, we remain focused on efficiency in pursuit of continued cash flow and profitability growth. We remain confident in the 2027 targets discussed at last March's Investor Day. Now I'll turn the call back to Tom.
Tom Deitrich: Thank you, Joan. Our teams executed at a high level across the organization and delivered another solid quarter of results to conclude the year. In addition to several new revenue and bookings records being achieved, margins expanded and free cash flow grew. These represent important milestones as we progress towards our strategic goals, which can only be achieved by ensuring the success of our customers who face a myriad of challenges related to the management of energy and water resources. We have built a resilient and experienced team at Itron and are well-positioned for continued success. Thank you for joining our call today. Operator, please open the line for some questions.
Operator: Our first question coming from the line of Noah Kaye with Oppenheimer. Your line is now open.
Noah Kaye: Good morning. Thanks for taking the questions. Well, I'd like to get in a bit into the demand environment, but I gotta start with cash generation, the balance sheet here. You know, Joan, maybe first after the strong free cash flow performance in 2024, maybe you can give us some broad indications of what you're thinking about for 2025 on free cash flow conversion. I have to assume there's some incremental improvement here as well. Just kinda give more capital of factors. But then, I mean, you're sitting on over a billion dollars of cash, you know, net leverage really attractive here. Just talk to us a little bit about the M&A pipeline and, you know, in absence of any, you know, M&A in the near term, what you plan to do with over a billion dollars of cash.
Joan Hooper: I'll take the first one, and then Tom could talk about when we're looking at again for M&A. So yeah, I would expect continued improvement and continued free cash flow fall through improvement as we go from 2024 to 2025. So if you recall for Investor Day, we talked about 10% to 12% of revenue for free cash flow. In 2024, that was about 8.5%. I would expect that percent to continue to go up and get us toward the targets for 2027. So there's a little bit of seasonality in terms of certain payments either for bonus or tax or whatever quarter to quarter, but my comments are good for the whole year that I expect free cash flow to increase and increase as a percentage of revenue. Great question about sitting on a lot of cash. It is actually currently contributing to the EPS. So if you look at the guidance we gave for EPS, it's above where the consensus was, and that's really more of an issue of interest income because we are earning quite nice interest rates on the cash we have. But, obviously, we're not a bank, and we're not looking to sit on that cash. So maybe Tom just talk about our pipeline.
Tom Deitrich: Sure. From an M&A perspective, we remain very active at looking at various targets out there. The types of things that we are interested in generally tend to be outcomes forward. They tend to be in the grid intelligence types of areas, really rounding out the portfolio that we can offer our customers all the way from planning to operational technology. So very similar types of things that we've been looking at, which just wanna make sure that we're really, really disciplined and have a move that will be something that's truly scalable on the technology side and be in a position to contribute from a financial perspective.
Noah Kaye: Thanks. I think just to shift to the demand environment and specifically outcomes. We're starting to see some good operating leverage here in the segment. But, you know, Tom, to go back to your comments, you know, you've got 13 million DI endpoints shipped in the field. And I think you said 15 million applications licensed. And another 10 million endpoints in backlog. That kind of suggests roughly that, you know, the adoption rate of applications and kind of the recurring revenue per endpoint, if you will, still has an awful lot of runway. So talk to us a little bit about what you see for outcomes growth, you know, over the next year or two and specifically what you see for kind of the recurring revenue portion of it.
Tom Deitrich: The outcomes business should be our fastest-growing business for 2024 to 2025 on a year-over-year basis. That is something that we feel good about. You correctly pointed out that underlying technologies, the things we need to get out in the field to create that greenfield, if you will, for outcomes growth is indeed happening on the networking side with the expansion of the grid edge intelligence platform. A lot of runway left in terms of applications if you did that quick math, 15 million applications over 13 million endpoints in the field, what we absolutely see a world where you're running many apps per endpoint, not just a touch over one. So we continue to expand the application choices that our customers have. We continue to see third parties writing applications which we can post on our enterprise application store to create a bigger choice. So the ecosystem is really just getting started. I think there's a lot more to be done. What we would definitely see people doing with these applications is the nuts and bolts of what utilities need to be caring about. It's resiliency, it's reliability, its safety, it is non-wires capability to increase capacity of what's actually happening. It is understanding where assets are through an electrical connectivity analysis and understanding location awareness. So a lot of the things that our customers are challenged with you can take a big bite out of and resolve using software-only technology, which creates a high barrier to competition and a really good return on investment for our customers, and it accrues nicely to us. We definitely think that having about a 75% to 80% recurring revenue types of number in the outcome space is ultimately where we land. It's still gonna be noisy quarter to quarter depending on individual licensing deals and things of that sort. What you saw in Q4 was a little bit below that level as we did have some one-time licensing content inside of that fourth quarter number. So expect a little bit of that lumpiness as we continue to grow. But I think 75% recurring revenue in the outcome space is the right place for us to land over the years ahead.
Noah Kaye: Great color. Thank you.
Operator: Thank you. Our next question coming from the line of Ben Kallo with Baird. Your line is now open.
Ben Kallo: Hey, guys. Thanks for taking my questions. Just following up on Noah there. Just on the demand environment. Could you just talk about demand as maybe by region, North America and kind of big deals? And then just if you could tie in, if there's any kind of pushback from public utility commissions just because electricity rates have increased so much. And then I have a follow-up.
Tom Deitrich: Sure. So start with the pipeline of opportunities. It remains very strong as I commented in prior quarters so that the customers need to invest in resiliency and capacity increases, safety, automation. So the opportunity funnel has never been better on a global basis. North America clearly continues to lead the pack. And we would expect those opportunities to remain in view on a global basis. There are certain places around the globe in Asia Pacific, which also remain very strong, Australia, New Zealand being probably the top of that list. Europe, I would say, is flat. We're taking a bit more of a cautious approach on Europe as the water market there has definitely punched a little bit above its weight in 2024. That probably doesn't continue forever. So we'll watch that as that is a bit more of a short-term turns business in terms of how it flows through the bookings and backlog and the revenue overall. So that's how I would characterize it. On the big deal front, as always, there are large deals and there's small deals. Our fourth quarter bookings had more than 680 individual deals in it with well over 280 customers. So it is a very wide market swap that we continue to operate on. Still 90% plus networks and outcomes overall. So the parts of our business that we're starting to grow or targeting to grow rather continue to do so. Relative to the regulatory environment, it's still very constructive. So clearly, the interest rates are a little bit higher than people were hoping. Higher for longer perhaps is a decent way to think about it, but utility commissions are absolutely still approving deals, and we see it as a very constructive environment on a global basis.
Ben Kallo: Thanks. Thank you. And circling back to the comment you made about two-mode. I don't know if it worked is the word you used, but about the applications being written on your network. Could you just talk about that maybe in a little more depth? I assume competitors don't have that. And then just the competitive environment, I know there's, you know, water business were to be for sale, and there's kind of, you know, some turnover at Landis and just how you guys think of the competitive environment.
Tom Deitrich: So I certainly think we have a pretty substantial lead in the grid edge intelligence in our language distributed intelligence, downloadable agents and applications into endpoints. I don't think the competition is anywhere close to the 13 million endpoints in the field already landed today. So there are competitors clearly that are talking about these types of capabilities and, will, of course, respect the competition, but we wanna play our game and make sure we continue to innovate in the marketplace overall. So I think that it is good for our customers and good for us and good for our investors when people add incremental applications and use cases on top of the infrastructure that's already landed in the field. And that is a pretty nice scenario for us overall. There is a lot of, I would say, uncertainty in the marketplace with various competition making changes in their business model as everyone is looking to find ways to be more competitive in the future. So spending less time thinking about competition and more time about what we can do to help our customers and grow our business a lot faster.
Ben Kallo: Sounds good. Thank you, guys.
Tom Deitrich: Thanks, Ben.
Operator: Thank you. Our next question coming from the line of Jeffrey Osborne with Citi Cohen. Your line is now open.
Jeffrey Osborne: Great. Excuse me. Good morning. Just a couple quick ones. We're happy to try your year. But on the bookings for 2025, Tom, RG on the book to bill above one, would you expect a similar back-end loaded nature of the year? Or a bit more even spread out throughout the year?
Tom Deitrich: Yeah. I would say that it is always difficult to predict quarter to quarter as to what things would look like. So right now, I wouldn't necessarily forecast, but I wouldn't expect it to be perfectly linear quarter to quarter either. But definitely see a rich pipeline of opportunities, and that one to one for the year still makes a lot of sense based on what visibility we have today.
Jeffrey Osborne: Got it. Then just can you articulate, given there may be some tariffs on, like, I don't believe you have any notable manufacturing there, but I wasn't sure on supply chain, copper, steel enclosures, anything like that that comes from that region. How should we think about if there is a Mexico tariff for 25% and the impact to you folks?
Tom Deitrich: Yeah. I think it's gonna depend on the details as to what it looks like. We definitely are operating with a fair amount of components coming in from Mexico. So that is something that we'd have to watch out for the details on. China isn't a meaningful import market for us. We don't have any meaningful amount of metals in a raw sense coming in, so those aren't necessarily important. But Mexico, we are mindful as to what that might look like in the quarters ahead.
Jeffrey Osborne: And just to follow-up on that, I'm sorry. Sorry. I just one last comment I would make there is we do carry a bit more inventory to try to make sure we're in a position to give us as much supply chain flexibility in the event tariffs could be on again, off again. That is certainly a possibility that we're cognizant of and make sure we plan our supply chain accordingly.
Jeffrey Osborne: Got it. That's helpful. And just maybe quick follow-up on that topic. Have you started any intermediate qualification of alternative suppliers, not from that jurisdiction, in the event that they're more permanent or not at that point?
Tom Deitrich: Not at the juncture yet. Yeah. We do have a very strong multi-sourcing program around the globe. It is, I would say, part of the solution, but it isn't a perfect solution. It takes a bit more engineering, I think, to create a meaningful world. It's just uncertain, and it's really hard to make large investments one way or the other in the current environment.
Jeffrey Osborne: Got it. And the last one I had, if I could squeeze it in, is just one of your competitors is certainly highlighting outcomes. Similar type applications and services as well as a percentage of their revenue. I'm just curious. Could you remind us how you folks describe or define services, you know, maybe relative peers? I know both parties aren't maybe on the same page as it relates to network services, but you know, when you talk about 90% being networks and outcomes, is there any type of managed services that you may be including or excluding? Or are they including or excluding that makes you folks on different pages as it relates to those metrics that people are reporting?
Tom Deitrich: Yeah. For our numbers and facts and figures, let me make sure that what I'm clear on it. So of the new bookings in Q4 and our total backlog, 90% of that is networks and outcomes. So that's the 90% plus kind of number. Where we run in terms of software and services as a total percentage of revenue is probably in the, it can vary quarter to quarter, but 15% to 20% overall is software and services. The majority of software and services are indeed in outcomes, but there is a small slice that oftentimes is in the network's P&L. Software and services and outcomes, obviously, both have a portion of that revenue, which is managed services overall. So I do believe there's probably some differences in terms of what competition classifies in different areas, but don't know that I can do the accounting for them. I just am clear on what it is for us.
Jeffrey Osborne: Appreciate it. That's all I had. Thank you.
Operator: Thank you. Our next question coming from the line of Joe Nesbaum from Moses Sutton. Your line is now open.
Joe Nesbaum: Congrats on the quarter. How should we think about lumpiness for outcomes margins into 2025 as the business continues to ramp as this quarter moves you complete move closer to your 2027 target? We're just trying to get a near-term picture as a recurring base builds and how one of those servicing will continue to impact one place.
Joan Hooper: Yeah. If I think about the full year, I would certainly expect outcomes gross margins to increase versus the full year 2024. But given the kind of the subscale nature we've talked about, you're gonna have variability from quarter to quarter. So we did have a lot of one-time license revenue in Q4, which allowed us to get to the 44%. I wouldn't caution you not to think that's the new baseline that we go off. It's gonna continue to be lumpy. But again, for the full year, I would expect outcomes to continue to improve their gross margin percent.
Operator: Thank you. Our next question coming from the line of Martin Malloy with Johnson Rice and Company. Your line is now open.
Martin Malloy: Good morning. Congratulations on the strong year you put together. Wanted to ask first question. If you could maybe give us an update on the partnerships you've got with companies like GE Vernova and ABB and how those are progressing?
Tom Deitrich: Sure. They are in the stage that is, I will call them pilots with customers today. So a lead really starting to think about how to use the technology. We wanna make sure we've got the platforms from both of the partners wired together properly to be able to help the customer. So not yet in a stage where it is generating revenue through the P&L, but certainly strong interest on the part of customers. The thesis behind those partnerships very much is to help our customers absorb new technology faster, and we definitely continue to get strong customer feedback that this is one of the helpful ways we can do that, and we continue to work closely with various partnerships, GE Vernova, Schneider, Microsoft, Mobility House, VOTA AI, or just a couple of them that are top of mind as I answer your question.
Martin Malloy: Okay. And thank you for that. And then follow-up question. Want to ask about the Luma press release from December. If you can give us any more color there in terms of what's gone in the backlog, maybe timing of installation?
Tom Deitrich: Sure. Very pleased to support LUMA PREPA in the modernization of their distribution grid. That is an important project to improve the resiliency and reliability of the electrical service on the island. It is our full grid edge intelligence platform. So it's got strong content for both networks and outcomes in it. The project is really just getting started. So I think most of the revenue is in the years ahead rather than something that is immediately a big pop for 2025. So think of it as probably a three to four-year project overall, and it'll roll out in that typical time frame.
Martin Malloy: Great. Thank you. I'll turn it back. Thank you.
Operator: Thank you. And our next question coming from the line of Chip Moore with ROTH Capital Partners. Your line is now open.
Chip Moore: Morning. Thanks for taking the question. Wanted to ask one on just the outlook for 2025. You factored in the back-end loaded bookings last year, and I think you called out some conservatism around the European water meter business. Just maybe help us think about the biggest risks to that outlook and then know what you think you could drive better than expected results.
Joan Hooper: Yeah. Just to give a little bit more color. Again, I caution you not just to look at the flat year over year, you really do have to normalize 2024 for the catch-up revenues. So it gets you at about 6% growth. Within our segments, I would expect devices to probably be down year over year. They had an unusually strong 2024 with water. And as Tom said, you know, we're being cautious there because, certainly, the economies in Europe are suffering a little bit. Networks, I would expect to be flat to very, very low growth because of the catch-up that's really all networks revenue that came in 2024, the $125 million. And as Tom indicated, we expect outcomes to have another strong year. I don't know that there's a lot of risk to the top line. As we mentioned in the earnings outlook, we haven't assumed any new trade policy. So, again, to the extent that really happens, we'll update accordingly, but that would probably be the risk is if the macro trade environment, you know, gives us a big headwind.
Chip Moore: Very helpful, Joan. And maybe just a follow-up one. You know, margins and trajectory on those 2027 targets. You just completed some cost actions, I think, at the end of last year. Just kinda revisit those and how you think about that path.
Joan Hooper: Yeah. I mean, I think we're in a good place relative to our trajectory to get to 2027. Again, the top line, you know, with at the time we did it off 2023 actuals, and it was a 5% to 7% revenue CAGR from 2023 to 2027. Well, if you update for the strong 2024 and the guidance I just gave for 2025, we really just need something like 3% to 7% range to get to 2027. So we're well on our way. No issues in my view of hitting the top line targets. Also, we're doing really good, I think, on hitting the increased profile for gross margin and free cash flow generation. So not too worried about hitting those targets as well. I caution everybody to try not to accelerate them into an earlier year. Let us, you know, continue to see how things evolve. As you mentioned, we did shut two factories down at the tail end of 2024. In aggregate, that's maybe $10 million of cost savings. 2025 over 2024. And then there is still a little bit of the backlog that does not have indexation in it. So that's maybe a headwind going the other way. But as I mentioned in the earlier question, I do expect gross margin to improve year over year and get us on the pathway toward the 2027 targets.
Chip Moore: Appreciate it. Thanks.
Operator: Thank you. And our next question coming from the line of Andrew Steinhardt with Canaccord Genuity. Your line is now open.
Andrew Steinhardt: Good morning. We have Andrew on for Austin Moeller. Thanks for taking the questions. Just first here, you know, with the record quarterly bookings in mind and the regulatory delays mentioned in previous quarters, it appears the approval process ended given, you know, the $1.4 billion in bookings this quarter. In terms of, you know, the revenue recognition from these contracts, do you still see the deals going through the P&L in the second half of the year? I think you mentioned maybe 2026. So if you could provide some color there, I'd appreciate it.
Joan Hooper: Yeah. Just let me reiterate what I had said in the prepared comments is our typical kind of bookings to starting the revenue is nine to twelve months. So that's why the high end, you know, 52% I think of our 2024 annual bookings came in Q4. And so as we've been signaling for the last several quarters, we didn't expect much of that to come into revenue in 2025. So nine to twelve months is sort of that time frame in terms of getting the revenue started. And then typically within a project, there's a start and then kind of increases over time and then kind of goes down. So we took all that into account in the 2025 revenue guidance, and if you look at the CAGR required off the as I just mentioned, to get from the 2025 targets to the 2027, it's 3% to 7% off 2025. So we expect growth to accelerate again in 2026 and 2027.
Andrew Steinhardt: Got it. Thank you. And just a follow-up, just looking at the $1.4 billion in bookings this quarter again, removing the call billion dollars in bookings that were going through that regulatory approval process over the past couple of quarters. Yeah. For the year, the business did, like, $425 million per quarter in bookings. Is this a cadence that can be expected in 2025, or how should we be thinking about that?
Tom Deitrich: Yeah. The bookings will be a little bit lumpy quarter to quarter. So it's very difficult given the bookings discipline we use for us to call it down to an exact quarter as to when something will happen. So I would brace you for a little bit of lumpiness quarter to quarter, but I would not expect it to be quite as much of a hockey stick. Yeah. Wait everything waiting until Q4 to book this year. So a little bit flatter kind of profile. But in total, I would expect it to be a book to bill of a one to one or greater for the year. So if our outlook on revenue is $2.4 to $2.5 billion kind of range, you can do the math on what the bookings really ought to be and go from there.
Andrew Steinhardt: Got it. Thank you. And if I could just squeeze one more in. Just looking at Q1 2025, has there been any uptick in demand for endpoints and grid edge intelligence in California in the aftermath of the wildfires?
Tom Deitrich: Certainly. Yeah. That California wildfires is a very tragic situation, and our hearts go out to everybody that's been affected by that. The technology that we provide our customers is absolutely helpful in dealing with all sorts of environmental impact. Whether it's floods or fires or hurricanes, it doesn't really matter. You gotta have better visibility out at the edge of the grid, and that's clearly what we're working with our customers on across the country, including up and down the coast in California. A lot of our wildfire mitigation technology was originally developed with Northern Cal PG&E, quite honestly, in mind. And I think we've got room to grow in wildfire-prone areas to deploy that technology more widely.
Andrew Steinhardt: Got it. Thank you so much.
Operator: Thank you. Our next question coming from the line of Scott Graham with Seaport Research Partners. Your line is now open.
Scott Graham: Yeah. Hi. Good morning. Thanks for taking the question. I actually have two or three questions. I'll keep it to two. The operating expenses that were a little bit higher in the two segments, what was that about? Did you just kinda saw that maybe you had a better than expected quarter underway and then maybe spend some money in December to spend some of that off?
Joan Hooper: Not really. Again, we monitor our expenses throughout the year, and sometimes the timing of whether it's outside services or some of the investments are both our corporate team and our segments are making. They can go through the year. So we've focused more on the annual level of spending for the segments. And if I look across the company, you know, we ended up at 22.7% of revenue, which is right within that range 22% to 23% that we've been targeting.
Scott Graham: Yes. Thank you. The other question is simply, you know, kind of about the environment where, obviously, the let's call them the power stocks, if you will, the industrial companies that service in some way direct or indirect to data center markets. And, you know, obviously, with the deep seek news, you know, a month and a half ago, you know, cheaper AI, you know, more cooler burning, call it AI. There's been a lot of speculation about utilities rolling back their load capital spending needs in years ahead. Obviously, I'm not talking about right now, but are you hearing anything from your customers? You have so many of them. You serve such a wide base of electric utilities out there. Are you hearing them talk about maybe the need to roll some things back in light of this product?
Tom Deitrich: Not at all. No. So we haven't seen any trends in that direction at all. The amount of, if I just use electricity as the poster child here, the amount of electricity growth is dramatic over the next years. We need 40% more by 2040, 50% more by 2050. That is a very strong trend. That growth is certainly driven by multiple factors. It's driven by AI data centers, as you noticed, but it's also driven by reshoring of manufacturing. So I would say alive and well and no change. Utilities are very much struggling to keep up with the demand increase and find out a way to deal with it. So quarter to quarter, ebb and flow, it's a long-term trajectory, and building infrastructure takes a long time. So alive and well, and I don't expect that change in the quarters and years ahead.
Scott Graham: That's helpful. Thanks, Tom.
Operator: Thank you. And our next question coming from the line of Kashy Harrison with Five Percent. Your line is now open.
Kashy Harrison: Good morning, everybody. Thanks for taking the question, and congrats on the results and the 2024 commercial momentum. So, you know, my first question is on the guidance. You know, the twelve-month backlog was down, call it, ten-ish percent year over year. But you're guiding to flat revs, you know, which suggests maybe perhaps more projects that you expect to book and ship in 2025 than 2024 or maybe some other factor at play? Was wondering if you could just help us unpack what drives that, what's behind that, and what you're seeing in the market that gives you the confidence that, you know, you can have flat revenues with a lower twelve-month backlog here.
Joan Hooper: I was gonna say, we have quite a bit of visibility by customers. So, again, part of the reason the twelve-month is so lower compared to the bookings we have for the quarter is what I mentioned, which is they're very back-end loaded in much of the Q4 bookings. We are not expecting any revenue in the next twelve months. So therefore, they're in the post-twelve months piece of the backlog. So yes, there is some element of kind of book and ship in the fiscal year. But, you know, we're confident with the outlook that we gave in terms of seeing the pipeline and understanding the current timing of projects.
Tom Deitrich: Yeah. And I think it's also important that you look at the catch-up revenue. So December 31, 2024, was higher, twelve-month backlog, by that $125 million or so compared to where we stand today. So there's a little bit of that. Twelve-month backlog was up slightly from Q3 to Q4. So the visibility that Joan talked about is exactly what we note and how we see our customers rolling things out. That twelve-month backlog is also very much based on what customers are forecasted their project deployment time frame. So it can move up and down depending on how projects are progressing through the installation and development phase in their profiles as well.
Kashy Harrison: Got it. Appreciate the commentary there. And then on the bookings front, Tom, I know you indicated book to bill above one. Wondering if I could help you help us, or if you could help us maybe refine that a little. Do you think that you can build on the $2.7 billion last year in 2025? So with the book to bill with the bookings on an absolute basis be up year over year, just because, you know, more than one is a very wide range? And then, you know, and then as it pertains to all the business that you won in 2024, just curious how much of that is market growth versus market share gains? Maybe if you could talk about win rates, that would also be helpful.
Tom Deitrich: Sure. So book to bill of one to one or greater is still about as good of an estimate as we can give you today. It becomes very difficult to predict exact regulatory cycles and things beyond that point. So if our outlook on revenue is $2.4 to $2.5 billion, that gives you some sense of where the bookings number would be. So I don't wanna hazard to guess of year-over-year bookings at this point. As we progress through the year, it'll become much more clear as to what the pace of wins really would look like. On the notion of share gains and win-loss ratios, we definitely see strong take-up of our portfolio offerings, certainly in the electricity space, the need for better visibility and agile infrastructure is fueling a very nice pipeline of opportunities and a strong win rate for us. So I think certainly, in the electricity and in the gas space, there's probably a little bit of share shift there, but very reflective of the strengths of the portfolio and fueled by the growth in the marketplace.
Kashy Harrison: That's helpful. Thank you. If I could just maybe sneak one more in. A question on trade. You know, understanding that you have a natural inventory buffer that you've been working on for, I think, over a year now. You know, so that gives you a little bit of cushion. But I'm just curious, how quickly can you pass on any tariffs to your customers? And then, you know, are there any sensitivities that you can give us would help us think about risk from Mexico to gross margins? Thank you.
Tom Deitrich: Yeah. On the notion of pricing and what we do with customers, clearly, we wanna be responsible. So the ability to pass on costs very much depends on the fact patterns and the specifics overall. So it's difficult to forecast in the absence of any real details of what the tariff regime may look like. What I would say is that it's very clear that the customers need to improve their grid performance, their resiliency, and reliability. And that doesn't change based on the trade policy in place. It certainly could alter the timing and pace of projects in a capital-constrained world that exists, but I don't think it ultimately changes the destination overall. We've got strong support in the administration for grid resilience and reliability. You heard that from Secretary Wright during his confirmation testimony of grid resiliency is fundamentally important, and I think that's something that is important for the country and important for a larger reshoring strategy.
Kashy Harrison: Thank you.
Operator: Thank you. And there are no further questions in the queue at this time. We will now turn the call back over to Mr. Tom Deitrich for any closing remarks.
Tom Deitrich: Thank you all for joining our call today. We look forward to updating everyone after Q1. Until then, thanks.
Operator: This concludes today's conference call. Thank you all for participating, and you may now disconnect.